Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Newpark Resources Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Friday, February 17, 2012. I would know like to turn the conference over to Ken Dennard of DRG&L. Please go ahead. 
Ken Dennard: Thank you Alicia. Good morning, everyone. We appreciate you joining us for the Newpark Resources' conference call. Today we review 2011 fourth quarter results. We'd also like to welcome the Internet participants listening to the call on the web.
 Before I turn the call over to management, I have the normal housekeeping details to run through. For those of you who didn't get an email of the release yesterday afternoon and would like to be added to the distribution list, just call our offices at DRG&L,(713) 529-6600 and we'll put you on that list.
 Also there will be a replay of today's call and I'll be available via webcast at the company's website www.newpark.com. There's also a recorded replay available by phone, which will be available until February 24, and that information to dial in is in the release yesterday.
 Please note that information reported on this call speaks only as of today, February 17, 2012. And therefore, you are advised that time-sensitive information may no longer be accurate at the time of any replay listening. In addition, the comments made by management today of Newpark during this conference call may contain forward-looking statements within the meaning of the United States Federal Securities Laws.
 These forward-looking statements reflect the current views of the management of Newpark. However, various risks, uncertainties and contingencies could cause Newpark's actual results, performance or achievements to differ materially from those expressed in statements made by management.
 The listeners are encouraged to read the company's annual report on Form 10-K, its quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies.
 And now with that behind me, I'd like to turn the call over to Newpark's President and CEO, Mr. Paul Howes. Paul? 
Paul Howes: Thank you, Ken. Good morning to everyone. We'd like to thank you for joining us today for our fourth quarter 2011 conference call. With me today are Bruce Smith, President of our Drilling Fluids business; and Gregg Piontek, our Chief Financial Officer.
 Following my opening remarks, Bruce will provide an update on our Fluids business and Gregg will discuss the Mats and Environmental Service businesses, as well as the consolidated financial results of the quarter. I will then conclude with a discussion of our market outlook before opening the call for Q&A.
 Now turning our attention to the fourth quarter. Total revenues for the fourth quarter of 2011 were up 1% sequentially to $264 million and up 35% from a year ago. Operating income came in at approximately $34 million, which was down about 13% sequentially but up 37% year-over-year. Our net income per diluted share for the fourth quarter was $0.22, compared to $0.23 in the third quarter of 2011 and $0.15 a year ago.
 Looking at the results of our Fluids business, revenues increased 2% sequentially and 36% year-over-year to $221 million. North American Fluids were up 4% sequentially to $164 million. We continue to see exceptional strength coming from Canada, where revenues rose 75% sequentially building on a very solid third quarter. 
 As we've seen over the last several quarters, there continues to be a shift away from dry gas areas and as our customers move bases to the more liquid plays, we have continued to shift our resources accordingly.
 Currently, our U.S. revenue mix between oil and dry gas rigs is in line with the overall U.S. mix, with nearly 2/3 of our customers' rigs engaged in liquid-related drilling.
 Evolution, a high-performance, water-based drilling fluid system totaled $22 million during the quarter, up from $17 million in the third quarter. We continue to gain traction introducing this system into new geologies, having completed over 600 wells with this system.
 Our Mats & Integrated Service business completed its redeployment of rental mat outside of the northeast region. Our rental mat fleet in the northeast was reduced by approximately 45% during the second half of 2011, with the mats being primarily redeployed to the Gulf Coast and the Rockies. Our mat sales activity continues to see strong international demand. However, sales were down 16% sequentially after achieving our highest sales low ever in the third quarter.
 Revenues for Environmental Services were $13 million in the quarter, down 12% sequentially from the third quarter. As we highlighted last quarter, the third quarter benefited from $2.2 million of revenues from several large disposal projects, which we did not expect to reoccur in the fourth quarter. Without these projects, the fourth quarter would've posted a small sequential gain.
 Now let me comment on how pleased I am with our performance for the full year. Our consolidated revenues for 2011 totaled $958 million, a 34% increase over 2010 and a new record compared with the previous high of $858 million achieved in 2008. Our earnings were $0.80 per diluted share in 2011, a record compared with the previous high of $0.46 per share earned in 2010. Operating income of $133 million in 2011 surpassed the previous high watermark of $78 million by 70%. 
 Fluids revenue from North America was up 38% from last year on a 21% increase in North American rig count and our total Fluids revenue for the year was $799 million, a record for the business.
 2011 was also a record year for Composite Mat sales, which rose 78% from 2010. Given our performance over the last 2 years, our drive to become a technology leader and our ongoing proactive migration into the U.S. liquid plays, we believe we are well positioned to grow our business and gain market share, both domestically and internationally. However, as we have stated in the past, we do not expect the trajectory of our growth to be linear. Finally, I would like to announce that the Board has authorized the stock repurchase program, which allows us to purchase up to $50 million of our outstanding shares.
 With that, let me now turn the call over to Bruce Smith, who will review the financial performance of our Fluids business. 
Bruce Smith: Thank you, Paul, and good morning, everyone. In the fourth quarter, the Fluids Systems and Engineering segment generated revenues of $221 million, a sequential increase of 2% and a year-over-year increase of 36%. North American revenues were up 4% sequentially to $164 million and were up 52% from a year ago. A portion of these gains were driven by exceptionally strong activity in Canada, which continued its momentum from the third quarter, posting a 75% sequential increase.
 Looking at the U.S., revenues were down 3% from the third quarter but up 38% from a year-ago quarter. While revenues increased in most of our operating regions, we experienced softness in our completion service and equipment rental business in the Mid-Continent region and a decline in the Louisiana Gulf Coast. We continued to see strong sequential gains from the liquid-rich areas, including the Eagle Ford and the Bakken shales. 
 Revenues from the Haynesville and Fayetteville shale plays were also up sequentially and year-over-year. However, we have seen declines in recent weeks as activity continues to migrate to the liquid plays such as the Eagle Ford, Bakken and Permian Basin. Currently, the Haynesville represents only approximately 15% of our North American revenues. Given the ongoing move towards oil and liquid plays, I would like to note that other than our localized equipment rental business in the Mid-Continent region, our primary assets are our people, which allows us to be nimble regarding our mobility, following our customers to new drill sites with relative ease. And since we cover 90% of the markets in the U.S., we are well positioned to continue to migrate with the activity.
 Turning to our International business. Europe, the Middle East and Africa revenues held steady at $30 million and we continue to see stable performance from our Tunisian and Algerian businesses. Sustained activity in Romania and the recent expansion into Northern Iraq, along with share gains in Algeria, should provide future opportunities for growth. Also, while our operations in Libya remain temporarily shut down, we remain hopeful that activities there will resume at some point in 2012.
 In Brazil, revenue was down 7% sequentially to $18 million. However, operating income improved modestly due to improvements in our revenue mix. As we've emphasized in the past, revenues can vary from quarter to quarter due to product mix and the timing of the customer activity. We are very pleased by the significant turnaround in Brazil in 2011 as the business unit was profitable, both for the fourth quarter and full-year 2011, as annual revenue was up 23% to $76 million.
 During the fourth quarter, we started 2 wells with an IOC, and we expect to continue supplying them with products and services through the first quarter. Revenues in our Asia Pacific business, which began with our April 2011 acquisition, grew 11% sequentially to $9.5 million. We continued to work on developing business, both onshore and offshore, and we believe we are well positioned to capitalize on the anticipated increases and activity in this region, that will be required to support the large LNG investments.
 Our Evolution System continues to see strong usage among our customers. Revenue from Evolution was $22 million in the fourth quarter, compared with $17 million in the third quarter with gains being achieved across most regions. Although we don't expect Evolution's growth to track smoothly from quarter to quarter, we continue to be very encouraged by its results and expect to gain more customers going forward.
 Looking at the Fluids segment operating profit, we reported operating income of $25 million in the fourth quarter, compared to $25.6 million in the third quarter and $16.8 million a year ago. Our fourth quarter results we're unfavorably impacted by ERP system conversion costs, along with elevated employee healthcare costs. Combined, this added $1.4 million of expense, negatively impacting our operating margin by approximately 60 basis points. As a result, our 11.3% operating margin in the fourth quarter is down from 11.9% in the third quarter but well above the 10.3% earned a year ago.
 Finally, in keeping with our vision of remaining at the forefront of technological innovations, I would like to announce that we have received Board approval to construct a new $30 million technology center, dedicated to further development and growth of the Drilling Fluids business. This new facility will be of great strategic importance to Newpark as it represents, not only an investment to being our technological edge through research, but also a means to train employees and customers and to affirm our commitment to excellence as a world-class growing fluids organization. The technology center will more than double our current lab space and have a much more efficient layout, from which we can develop products and systems beyond our current offerings. Construction is expected to begin in March and completion is planned for mid-2013. We have already begun to fill critical positions for the new lab, hiring world-class talents to drive our future innovation. 
 With that, I'll now turn the call over to our CFO, Gregg Piontek. 
Greggg Piontek: Thank you, Bruce, and good morning, everyone. Let me begin by discussing our Mats & Integrated Services and Environmental Services segment, then wrap up with a discussion of our consolidated results.
 The Mats business reported $29.4 million in revenues for the fourth quarter, a 3% sequential decrease but a 43% increase year-over-year. As Paul mentioned, we did complete the redeployment of our mats from the northeast region to meet customer demands in other areas, including the Gulf Coast and the Rockies. While rental revenues were down in the quarter due to this transition, the fourth quarter benefited from a large site preparation project in the Gulf Coast.
 As a result, total rental and service revenue increased 9% over the previous quarter. Composite Mat sales contributed $11.6 million of revenues to the fourth quarter, down $2.3 million from the record level of sales in the third quarter. For the full-year 2011, Composite Mat sales were $42 million, reflecting a record level.
 The Mats segment had operating income of $11.7 million in the fourth quarter, down 20% from the third quarter operating income of $14.5 million and up 13% from the $10.3 million earned a year ago. As we stated in the third quarter call, we expected some margin compression due to lower utilization during this transition period, increased transportation costs associated with the move and the lower rental rates in the new deployment areas. Operating margin in the fourth quarter was 39.7%. This compares to 48.1% operating margin in the third quarter and a 50.2% operating margin in the fourth quarter last year.
 Now moving on to the Environmental Services business. Revenues of $13 million were down 12% from the previous quarter and up 17% from a year ago. As Paul mentioned, the third quarter benefited from large disposal projects, which contributed $2.2 million of revenues in that period. Operating income in the Environmental Services segment was $2.4 million, compared to $5 million in the third quarter and $2.6 million in the same quarter a year ago.
 Our fourth quarter operating margin was 18.1%, down from the 33.4% margin we achieved in the third quarter and the 23.4% margin achieved a year ago. The fourth quarter included a $700,000 non-cash impairment charge for the write-off of one of our disposal wells, which we plugged and abandoned during the quarter. 
 Now moving on to our consolidated results. For the fourth quarter of 2011, we reported total revenues of $264 million, an increase of 1% from the third quarter and up 35% from a year ago. Operating income was $34 million, down 13% sequentially and up more than 37% from the fourth quarter of last year. The sequential decline in operating income is partially attributable to a $1.6 million increase in spending for supplemental resources, employee training and IT system support costs, following an October 2011 ERP system conversion in our U.S. operations, along with the $700,000 increase in employee healthcare costs, which impacted all of our operating segments in the fourth quarter.
 As we continue to fine-tune our business processes and provide supplemental user training on this new ERP system, we expect an elevated level of system support costs that continue through the first quarter of 2012. 
 Net income in the quarter was $21.9 million or $0.22 per diluted share as compared to $23 million or $0.23 per diluted share in the third quarter of 2011. For the fourth quarter, our tax rate was 30.4%, compared with 36.5% in the third quarter. The lower tax rate was driven by benefits from the strong Canadian results, along with certain U.S. tax deductions now allowable, as we become a cash taxpayer in 2011.
 For the full-year 2011, we reported revenues of $958 million, which was up 34% from 2010. Operating income in 2011 was $133 million, a new record that topped last year's $78 million. This $55 million improvement in operating income was achieved on a year-over-year revenue improvement of $242 million for an incremental margin of 23%. Net income for 2011 was $80 million or $0.80 per diluted share, compared to $41.6 million or $0.46 per diluted share in 2010. Our tax rate for the full-year 2011 was 35%.
 Now let me discuss our balance sheet and liquidity position. Total debt at December 31, 2011, was $192 million, resulting in a debt-to-total capitalization ratio of 27.8%. We ended 2011 with a cash balance of $25 million versus $63 million at the end of the third quarter. In addition, we ended the year with $17 million drawn on our revolving credit facility. The drawdown of cash and borrowing on our revolving credit facility was required in part to fund a $40 million increase in receivables, following our ERP system conversion. Due to the inherent process, reengineering, work force training, and early implementation inefficiencies that are typically encountered in an ERP conversion, our customer invoicing lagged revenue levels for much of the fourth quarter, causing DSOs in this business unit to increase by approximately 30 days. Over this period, we have continued to take corrective actions to accelerate our invoicing processes and have now been invoicing at a pace that is well in excess of revenue levels through the first 6 weeks of 2012. However, while significant progress is being made, we expect that DSOs will not return to our recent historical level until the second or third quarter of 2012. 
 Our fourth quarter capital expenditures totaled $8.8 million and our depreciation and amortization expense was $7.8 million. For fiscal 2012, we expect our capital expenditures to be in the $50 million to $60 million range, which includes the cost of the technology complex that Bruce described earlier, as well as planned investments in facilities and equipment and the expansion of our mats rental fleet. Finally, we expect our tax rate for the full-year 2012 to be between 35% to 37%. 
 Now, I'd like to turn the call back over to Paul for his concluding remarks. 
Paul Howes: Thanks, Gregg. 2011 was an excellent year for our company with record levels of revenue, operating income and earnings. I'm very pleased with the performance of all of our business units and specifically, our employees that serve our customers on a daily basis. 2011 also saw us acquire a drilling fluids company in the international market, something Newpark had not done for close to 10 years. 2011 was also significant for the number of wells drilled using our Evolution system, along with 4 top service awards of EnergyPoint Research for outstanding products and services, a clear indication that we are a leader in the segments we serve.
 But keeping ahead of our competition means that we have to constantly reinvent ourselves by bringing new and innovative products and services to the oil patch. To that end, as Bruce stated, we are extremely pleased to announce the building of our new worldwide drilling fluid technology center, a $30 million commitment to the future of Newpark and our leadership position in the drilling fluids industry.
 And for the Mats business, 2011 was a year where we're successful in rebranding our mats as an environmental product line. However, there is still work to be done to solidify the environmental benefits of our product with our customers. To that end, we're working on product line extensions and enhancements to our existing mats. We are also investigating the expansion of our International Rental business into other regions, as we strive to broaden the reach of this product line. 
 Meanwhile, we continue to see solid demand from the sale of mats internationally. However, with the current mild winter and the drop in the price of natural gas, we're seeing a few operators in selected U.S. regions reduce their requirements for mats. And as stated on previous calls, we do expect to see continued pricing pressure from competition. 
 In the Environmental Service business, we expect to maintain the volume and share gains that we achieved in 2011. If we see a meaningful recovery of the Deepwater Gulf activity, we would also expect to see our fair share of that volume.
 Now turning our attention to the market. Similar to the domestic drilling market, our business continues to shift towards liquids plays as we have seen over the past year. As Bruce said, our primary assets are our people. So moving trained personnel to newer areas is a relatively straightforward process. We have and will continue to be proactive in relocating our people to follow rigs as they move out of dry gas basins into the liquid plays. Although the state of both the domestic and worldwide economy remains uncertain, fundamentals for oil demand remains solid, and we expect oil prices to remain reasonably strong through 2012. We expect the shift from dry gas to liquids to continue through the year and while there may also be improvements in the Deepwater Gulf of Mexico, we're not anticipating that this will have a major impact on our total business.
 In closing, let me thank the employees of Newpark for their outstanding results over the past year and the continuing efforts of making Newpark a world-class oilfield service company. 
 With that, we'll now take your questions. Operator? 
Operator: [Operator Instructions] Our first question is from the line of Neal Dingmann with SunTrust. 
Neal Dingmann: Say, guys, first just on the mats side would be my first question, just maybe either for Gregg or for you, Paul. Just wanted -- obviously, we knew that the hit would come as you're reallocating and doing some things on the margin. You're pretty straightforward about that. How do you see now the mats margin going forward sort of for the latter part of this year and into next year? 
Greggg Piontek: Let me take a shot at that. Obviously, as we had mentioned, we had completed the redeployment. We do have the mats now back to kind of normalized levels in the various regions. As Paul had mentioned here, it is a little bit difficult to predict as you run into a little bit of weather conditions that can impact the usage in certain basins. But overall, the expectation is for rental levels that are higher than what we had expected in the fourth quarter -- or experienced in the fourth quarter rather. 
Paul Howes: And one more color maybe [indiscernible]. It's our belief that, in terms of the margins as you're looking out the end of this year, in that 30% range certainly is something we feel pretty comfortable right now, unless something changes in a larger way. So we do continue to see, obviously, some competitive pressure but we continue to work on product line extensions and create new features that will be valued by our customers. 
Neal Dingmann: Got it. And then, just for my follow up, over on the Fluids side, both as it pertains to just traditional fluids and then the Evolution, either for you, Paul, or for Bruce. You've obviously continued to do a great job in migrating that over to oily plays. Just wondering, as far as how would that progress, and if you'll target new areas and how you see that sort of migrating. I guess, question one around that, do you see continued less activity in the Haynesville? Or is that about where you would expect? And then, as you continue to migrate, do you anticipate picking up overall market share both for the traditional and for Evolution? 
Bruce Smith: On migration away from gas, actually we started probably a year ago. Some of our first customers moved, and we began then to get a little proactive and start moving ahead of them and moving into the liquid plays were. That was both with conventional systems and with Evolution. The Evolution sales increase in this quarter was really across most regions, not only gas but in liquid plays. And it came through, not only additional new customers, but it came through more Evolution business with existing customers, which of course is what we've been striving to do. At some point, you run out of new customers to go to, so we have to broaden our scope with Evolution with our existing customer base, which we managed to do in the fourth quarter. In terms of the Eagle Ford play, which is obviously a big play as people have been moving from the Haynesville, we recently put a new facility there to support that operation and to beef up the infrastructure that we already had there. So we feel we're very well positioned there to take advantage of the increases on rig count, the increases on our customers' activity as it goes forward. So we are also looking now at some regulatory issues to deal with in the international marketplace so that we can begin to roll Evolution out into the international plays. And the difficulty with that is not so much the system itself but just getting all the necessary approvals to get those systems into countries and accepted. So we're working diligently on that as well at this time. Does that answer your question? 
Operator: The next question is from the line of Jim Rollyson with Raymond James. 
James Rollyson: Paul, just to circle back to mats, kind of, I guess 2-part question. One, I heard you say, the short run, you've redeployed mats and hopefully, the costs associated with that is over. But with some of the sloppiness in the market at the moment with given the gas situation that you've got some customers trying to reduce their mat count, I think you said. But earlier, when you're talking about CapEx, I think, I also heard you guys were planning to increase your mat rental fleet, which would suggest at least, over some period of time, you're expecting things to pick back up across the spectrum of the whole US. So kind of curious, how you're thinking about -- you gave us your margin commentary, but just thinking about mat deployment utilization, et cetera, and kind of how you're thinking about it. And maybe what your regional big breakout is for where your capacity lies today. 
Paul Howes: Yes. In terms of the longer-term view of Our Mats business, we believe there's going to be continued growth there. And so we need to be adding to our fleet. That's something that we've committed to doing over the long term. Certainly, as you said, the mild winter right now has created some difficulties in the short term. But longer term, we're going to continue to add to the fleet. We're excited about some international opportunities that are coming forward. And so we're going to also look at moving some additional mats into the international market here in the next couple of quarters. 
James Rollyson: And what kind of spread of where your capacity lies today? 
Greggg Piontek: Prior to the redeployment, obviously, we had a very heavy concentration in the northeast. As we stand today, it's a pretty well-balanced mix between the northeast, the Gulf area and up in the Rockies. 
Paul Howes: In most of the -- in the Rockies, our terminology, we also put the Bakken in North Dakota, that's in our Rockies business unit. So that would -- most of the mats were up in the North Dakota area. 
James Rollyson: Okay. And as a last question, the tech center, once you get that up and running mid next year, kind of what should we think about for additional SG&A associated with that? Or have you got that far yet? 
Greggg Piontek: I don't think there'll be a significant impact on overall SG&A. I mean, the main focus here is, Bruce had mentioned, is on the lab and the R&D focus associated with it so... 
Paul Howes: Certainly, our expectation is our business is going to continue to grow. We're going to be adding more people but our SG&A percentage will be in line with what we currently are running. And I got to tell you, we're really excited about that tech center and the ability to attract more talent to the company and -- so, Bruce, I don't know if you have any additional color on that. 
Bruce Smith: No, no. I think you've covered it well. We'll certainly add some personnel to the new facility as we go forward. But we'll be very specific how we do that. We are looking for the best talent to help move us forward. So we see nothing but very positive things coming from that build. 
Paul Howes: And one of the things too, Jimmy, maybe you're aware back at the very early conception of Evolution, a lot of that preliminary work was done on our drilling simulator. That's one area that we're going to be making some pretty significant investment scale to increase the capability of our drilling simulator and the new technology center as well. 
Bruce Smith: The new center also, if I may just add , Paul -- the new center also -- as we've been developing our business internationally, we're finding we're having to support that to a larger degree. So as we grow internationally, we're going to need that additional effort and additional ability to support not only the growth in the domestic operations but the growth coming in the international side. So for all those reasons, it's exactly the right move to make, I think, to secure the future of the company. 
Operator: The next question is from the line of Mike Harrison with First Analysis. 
Michael Harrison: Can you give us a sense of how your revenues in the Fluids business -- how your revenues per well would differ between gas and oil? Maybe talk a little bit -- take a deeper dive on the shift and kind of what you're seeing in terms of pricing dynamics in the oil patch versus gas wells. And do you have opportunities to expand your service offering in the oil patch? That maybe you wouldn't have had with dry gas opportunities. 
Bruce Smith: Okay. I'll try and get to all of those. If I miss something, remind me what I've missed. Certainly, in some of the gas areas like the Haynesville, they were very large wells, very complicated wells. Therefore, the revenue per rig perhaps on those Haynesville wells would be higher than any other conventional area. However, there are also very significant wells in the liquid plays that demand also a high level of technology and a high level of commitment and focus. So the switch, in terms of revenue per rig, perhaps slightly down as you move from gas to the liquid plays but nothing that's going to have a major impact, more of a minimal impact I think, in terms of the revenue per rig. In terms of our systems and our products playing in gas versus liquids -- of course, we've designed everything to play across the board. So our systems and product lines play very, very well both in gas and in liquids. So we, certainly, are not concerned about anything there. We have been moving, as I mentioned earlier, away from gas for the past 9 months at least to a year. And we managed so far anyway to do that with minimal impact to our revenues. And we hope that we can continue to keep that the same. Did I miss anything? Have I answered what you wanted? 
Michael Harrison: Pricing -- any differences in pricing dynamics between oil and gas areas right now? 
Bruce Smith: Nothing. No, we're not seeing that. 
Michael Harrison: All right. And then, if I could just follow up on the $1.6 million in ERP-related costs and the $700,000 that you referenced in higher healthcare costs, maybe just some additional details around that. Were the healthcare costs one-time or will they be ongoing? And maybe how did the ERP-related costs break down across the 3 segments? 
Greggg Piontek: Sure, Mike, I'll take that. In terms of the healthcare costs, it's somewhat typical but you have a run-up in the -- when you get to the end of the year and you have an employee base before deductibles reset, et cetera, where you have a spike and that's what we saw here during the fourth quarter. And in terms of the overall allocation of these costs, the 2 items combined are approximately $2.3 million of charges. The way that spreads across the business units, the Fluids segment gets about 60% of that and the balance of it really goes to the other segment and corporate kind of evenly is the way it falls. 
Operator: The next question is from the line of Doug Garber with Dahlman Rose. 
Douglas Garber: I wanted to ask you about the Mats division. I'm a little -- I think the Bakken and more the -- even the Canadian market could be an opportunity as they become kind of more weather-impacted markets with the roads. I was wondering if the Bakken would be more a growth area going forward? And also I just don't really hear about the potential sales in Canada with the seasonality there. And I'm just wondering if that's an opportunity for you guys. 
Paul Howes: Certainly, we do see the Bakken as an attractive market and have over the last year. Historically, though, the sale of mats into Canada -- back in 2006, 2007, we did sell mats into the Canadian market. We left that market, I think, in late '07, early '08. So we don't necessarily see a real opportunity in the Canadian market. Maybe on the north side of the Bakken, possibly. So... 
Douglas Garber: Okay, that's helpful. I also wanted to touch on the Haynesville exposure. As your customers move their rigs and their drilling programs out of the Haynesville, do you expect to go with those customers to the new locations, so it's kind of a wash in terms of the volume of work that you get? 
Bruce Smith: Based on actual fact -- this is Bruce, by the way, I'll talk to the drilling fluids side. We've been moving from the Haynesville for 9 months and we've managed to -- as the rigs have moved, certainly as our customers have moved, we follow those rigs as those rigs have gone in plays somewhere else. So we've been managing through that quite successfully to this point. 
Douglas Garber: Okay, that's helpful. And just last one on the International business. In Libya, what was your previous run rate? And when do you expect, if at all, to kind of start ramping up that revenue during this year? 
Bruce Smith: I'll let Gregg talk to the revenue. In terms of the -- when we expect we might get back in, I think, probably, we're looking at the third quarter or maybe even into the fourth quarter. And we're taking our lead really from our customers. When they go back in, they alerted us that when they go back in, they'd like us to come back in with them. So over fourth quarter, we're hoping this year. 
Paul Howes: Yes. And as far as the volume from that region, I mean, historically, it's been representing about -- between 10% and 20% of the overall region was coming out of Libya. 
Operator: The next question is from the line of Joe Gibney with Capital One. 
Joseph Gibney: Bruce, just a couple of questions for you on fluids. I was -- wanted to spend a little time on Brazil. You referenced slight profitability in the fourth quarter. Just trying to frame some expectations for op profit in 2012 as you look at the Brazil market. 
Bruce Smith: Certainly, we hope to be increased from where we were in 2011. Part of what we had that to do, of course, was get to profitability and we've achieved that. Now the focus is to increase that profitably throughout 2012, and we have many things in play to achieve that goal. 
Joseph Gibney: I guess, we'll drill that a little bit on the fourth quarter. And then, what was the extent of the op profit in Brazil? Your referenced as slight, just any granularity will be helpful. 
Greggg Piontek: Yes. It was a small profit. It was a little under $1 million. 
Joseph Gibney: Okay. And then one last one for me. Just drill down a little bit on the Haynesville. You referenced that as 15% of your North America fluids revenue. I'm just curious, sequentially, what was that change? And what was it in the third quarter per se? 
Bruce Smith: The third quarter, I can't kind of do it. 
Greggg Piontek: I mean. The third quarter -- it's really not a big change in terms of the overall percentage from the third to the fourth quarter. 
Paul Howes: There was a -- but if you go back a year ago, it was much higher. Almost 30% of the North American revenue is coming from the Haynesville. At its high point in Q2 of '10, it was pushing 30%. And so it's come down pretty dramatically over the past 18 months. 
Operator: The next question is from the line of Rob Norfleet with BB&T Capital Markets. 
Robert Norfleet: I just have a question as it relates to Fluid margins. Can you kind of discuss a little bit of how you view the trajectory of margins, as we move into 2012? Clearly, last call, you cited the tightness in the barite business. And I guess, on top of that, we continue to see Evolution sales grow. So it is the higher-margin Evolution product somewhat being diluted by higher raw material prices. Or when should we start seeing some of that enhancement in margins as we move in to 2012? 
Bruce Smith: Well, you're correct in that the short supply of barite continues to be a problem. And of course, with short supply, does come cost increases. The issue of the difference between the margins in Evolution and all the other products is more one of a lag time in being able to pass on the cost increases quickly to our customers as we get them. So we're working very hard to try and pass on those cost increases and get back to a level, where we think we should be. But of course, obviously, we expect to build the margin in 2012. That's our goal, is to get the margins up in 2012. And the more Evolution that we roll out and so on, obviously, that helps our costs. 
Robert Norfleet: Okay. And my second question just involves capital allocation. You clearly announced the technology center and also the buyback. Where would share repurchase fall in terms of the scale of priorities for capital allocation for 2012? 
Greggg Piontek: Well, I mean, in terms of the share buyback, the intention of that is really just a capital maintenance program in order to maintain the dilution of the shares. As we look at the cash flow that we expect to generate and the capital expenditure plans that we have, we see that we don't have any issues in terms of funding this repurchase in order to maintain that dilution. 
Paul Howes: Yes. The repurchase program really is just a solid kind of maintenance program. There's obviously a share creep that occurs with the issuance of equity to employees in the company. And so we need to get in and start taking some of those shares out of the market. So just good maintenance program to have in place. 
Robert Norfleet: Okay, that's helpful. And lastly, you noted -- admitted on the last call, there are some operational delays in the Marcellus with Evolution. Have you solved that in the -- obviously, currently selling Evolution in -- excuse me, in the Marcellus? 
Bruce Smith: No. It looks like it's going to be in the spring time drilling campaign. Most operators said if we're going to do something new, let's do it when the weather is a little better and things are a little more even. So we're looking at the spring time drilling campaign and we still have the same customers I mentioned in the third quarter. They're getting ready to run it from that time frame. 
Operator: The next question is from the line of Scott Burk with Canaccord Genuity. 
G. Scott Burk: You talked about the increasing market share in Canada. How are you measuring that increased market share? And are you seeing any competitive response by larger fluid providers? 
Bruce Smith: We are one of the larger fluid providers in Canada. So to some extent, we have our destiny in the wrong hands there. And we measure it by looking at the overall market -- looking at our share of the market by area, by customer, by rig. So we clearly identify what the market is and where we are in it. It's rig by rig, area by area and customer by customer. So we have a fairly detailed knowledge of it. 
Paul Howes: And the competitive dynamics there, in terms of response from larger fluids companies, is no different than anywhere else for us. As you know, we compete against some of the largest integrated service companies in the world and typically win. So no different. 
G. Scott Burk: Okay. So I guess, kind of the other gist of my question is, are you starting to see any kind of substitute products that they're trying to compete directly against your Evolution product line? 
Bruce Smith: We've seen people trying to compete with us for over a year now, unsuccessfully. So we're happy we still have a leading position with this type of high-performance, water-based fluid. And of course, we're going to work very hard at maintaining that leadership position. 
Paul Howes: Maybe a little more color I'll provide too. In terms of the large 3 integrated that we play against, a couple of them have introduced new water-based technologies. But quite honestly, they appear to be the old generation and really can't compete head to head with us. 
G. Scott Burk: Okay, terrific. And there -- can you talk about any kind of patent protection around, which you have with Evolution that could give you maybe 5 or 10 years? Or what kind of length do you expect to maintain that technology lead? 
Paul Howes: Yes. Certainly, we have an active intellectual property management program here at the company. We did file for patents, both domestically and internationally. We have not received our first office action at this time. So it's in the queue. We've certainly put the stake in the ground in terms of the inventions and believe that we'll  be able to protect it going forward. 
G. Scott Burk: Okay. And then I wanted to ask a couple of questions about seasonality. First of all, what do you expect the impacts will be from spring breakup on Q2 results? And then also, you had seasonal issues or perhaps seasonal issues in your completion services. Was that what drove the softness in completion services this quarter? 
Bruce Smith: No. The completion services was simply a moment in time, and we don't expect that to occur in the first quarter. It was a moment in time issue. It's nothing to do with seasonality. Up in Canada, the spring breakup really -- the impact of that depends on when it comes. It has been fairly mild up there but to this point, it hasn't impacted us too severely. But it really just depends when the breakup comes. 
Operator: The next question is from the line of Bill Dezellem with Tieton Capital Management. 
William Dezellem: A couple of questions. The first one, just to make sure that we're clear relative to your accounts receivable increase. That was entirely a self-inflicted phenomenon as you brought your new ERP system in place and if we understand correctly basically, you stopped billing for a period of time. 
Paul Howes: Yes. I guess you can refer to that a self-inflicted wound in terms of the ERP conversion. But yes, to some extent, it's natural to have a slowdown of activities internally as you bring in a completely new system and retrain your work force on new system, new processes, et cetera. It did prove to be a bit challenging. But as we had mentioned, we put corrective actions in place and are now billing well in excess of revenue levels. 
William Dezellem: Great. And then, secondarily, I believe, in your opening comments, you made reference to the fact that you do expect mat pricing pressure from competitors. Would you please provide some more perspective around that? 
Paul Howes: Sure, I'd be happy to do that. Obviously, our margins still around that 40% range. Those are very attractive margins, as you know, in this industry. And so we continue to see -- nothing changed in terms of new players entering the market but they're just continuing to work hard to try to take some of the accounts. We hold on to the majority of those because we have a superior product. It's differentiated and has a unique value when it comes to protecting the environment. 
Operator: The next question is from the line of Cory Armand with Rice Voelker. 
Cory Armand: You had already talked about Canada, but I was just wondering if you can discuss the increase in the Canadian fluids revenue and what trajectory you might expect in 2012. In other words, was there a project or program related to that increase? Or is the Q4 level something we could expect to kind of continue in 2012? 
Bruce Smith: We would expect it to continue in 2012, as we look at new areas in Canada to get into that we currently aren't in. So we expect we'll continue to move upwards in Canada. 
Paul Howes: And one of the -- about -- I don't know, about 18 months ago, 2 years ago, we put a new leadership team in place in Canada. And we're really starting to see the benefits of that. We've got a great team up there and they're doing a wonderful job in selling all of the technology, including Evolution. 
Cory Armand: Okay, great. And on the mat side, I know you get a lot of questions about this, but can you discuss the margin profile between selling mats versus renting them? And how that mix might change? 
Greggg Piontek: Well, in terms of the mat sales and the incremental impact of your sales activity, usually, that provides incremental margin in the 30s range. Now the rental side, obviously, your fixed cost is much greater. So it's all about the overall utilization in the pricing on the rental. So as the rental activity increases and decreases with a large portion of your costs fixed, that will tend to provide a much higher incremental margin to the business. So as the activities shift between the sales and rental, you'll see some overall impact on the operating margin segment. 
Cory Armand: Okay. And so there will be a mix shift towards rental, is that what you're saying? 
Paul Howes: On a go forward basis, we're not saying that right now, no. 
Greggg Piontek: No, we don't foresee any significant changes at this point. 
Operator: The next question is from the line of Mike Harrison with First Analysis. 
Michael Harrison: I was just hoping to follow up a little bit on the barite costs. Have we started to see higher pricing roll through as of yet to cover those higher costs? Did we see any of them in the fourth quarter? And can you maybe talk about what actions you have in place and maybe what kind of pricing contribution we would expect to see just to cover the raws as we get into the first quarter? 
Bruce Smith: We did gain a little in the fourth quarter on the passing on costs to our customers, but we still have some work to do. There's a definite lag time involved. And the barite pricing continues to increase due to shortages. So the increases are coming through reasonably fast. So we're in this process now, just passing on to our customers as quickly as we get them these price increases. And we're doing reasonably well with it so far. And we expect we'll continue to do reasonably well getting it passed on to our customers in as timely a manner as we can. 
Greggg Piontek: Mike, let me give a little more color on it, too. Certainly, price or the costs are important to be able to get that through. But the other key attribute of barite from our perspective, it's strategically critical to have it to be able to grow share in Drilling Fluids, and we've got very secure sources in China, India and in other parts of the world. And that's something we work very hard on literally over the last 4 years. So it has a real strategic importance in terms of availability, that we think we're uniquely positioned in. 
Michael Harrison: Have you been successful in finding some alternative suppliers or additional suppliers since the most recent run-up in tightness of barite supply? 
Paul Howes: We continue to find alternative sources in China, as well as in other countries as well. But majority of it still comes out of China today. 
Operator: There are no further questions at this time. I will turn it back over to management for any closing remarks. 
Paul Howes: I'd like to thank you once again for joining us on this call and for your interest to Newpark Resources, and we look forward to talking to you again after the conclusion of the first quarter. Thank you so much. 
Operator: Ladies and gentlemen, this does conclude the conference call. If you'd like to listen to a replay of today's conference, please dial (303) 590-3030 and enter an access code of 4503222. You may now disconnect, and thank you for your participation.